Operator: Welcome to the Ares Management Corporation First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, this conference call is being recorded on Thursday, May 2, 2019. I will now turn the call over to Carl Drake, Head of Public Company Investor Relations for Ares Management. Please go ahead.
Carl Drake: Thank you. Good morning. Thank you for joining us today for our first quarter 2019 Conference call. I'm joined today by Michael Arougheti, our Chief Executive Officer; and Michael McFerran our Chief Operating Officer and Chief Financial Officer. In addition, David Kaplan, Co-Head of our Private Equity Group; and Kipp deVeer, Head of our Credit Group will be available for the Q&A session. Before we begin, I want to remind you that comments made during the course of this conference call and webcast contain forward-looking statements and are subject to risks and uncertainties. Our actual results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in our SEC filings. We assume no obligation to update any such forward-looking statements. Please also note that past performance is not a guarantee of future results. Moreover, please note that performance of and investment in our funds is discrete from performance of and investment in Ares Management Corporation. During this conference call, we will refer to certain non-GAAP financial measures such as fee-related earnings and realized income. We use these as measures of operating performance, not as measures of liquidity. These measures should not be considered in isolation from or as a substitute for measures prepared in accordance with generally accepted accounting principles. These measures may not be comparable to like-titled measures used by other companies. In addition, please note that our management fees include ARCC Part I fees. Please refer to our first quarter earnings presentation that we filed this morning for definitions and reconciliations of the measures to the most directly comparable GAAP measures. This presentation is also available under the Investor Resources section of our website at www.aresmgmt.com and can be used as a reference for today's call. Please also note, we plan to file our Form 10-Q by early next week. I would like to remind you that nothing on this call constitutes an offer to sell or a solicitation of an offer to purchase an interest in any securities of Ares or any other person including any interest in any fund. This morning, we announced we declared our second quarter Class A common stock dividend of $0.32 per share which is a 14% increase compared to our second quarter dividend a year ago. The dividend would be paid on June 28, 2019, to holders of record on June 14. This dividend level represents a 5.2% annualized yield based on yesterday's closing price. We also declared a quarterly preferred dividend of $0.4375 per Series A preferred share, which is payable on June 30, 2019, to effective holders of record on June 14, 2019. Now I'll turn the call over to Michael Arougheti, who will start some quarterly financial and business highlights.
Michael Arougheti: Thanks Carl. Good morning, everyone. And as you can see from our earnings report this morning, our earnings and core financial metrics continue to steadily grow and Q1 marked our eighth consecutive quarter of sequential FRE growth. We grew our fee related earnings and realized income approximately 18% and 45% respectively and increased our AUM by over 20% year-over-year, driven in part by our continued strong fundraising momentum and our steady investing activities. Our first quarter fund performance was also strong, led by our corporate private equity funds, reflecting the strength of the public equity markets earlier this year. Before I go into more detail on the first quarter business highlights, I'd like to start just with a few comments about the credit and equity markets. Following the largely technical selling that we saw during the fourth quarter the markets have rebounded meaningfully year-to-date. This is a reflection of the Fed's dovish stance optimism surrounding the China trade talks and a stable economic and employment backdrop. The recent GDP number was also encouraging. So while some corporations are experiencing slowing earnings growth, credit performance in general remains stable. Default rates remain very low by historical standards and there's healthy liquidity in the system. While the level of transaction flows in competition varies by segment, we remain active, leveraging our inherent platform advantages to find value in transaction sourced by our 400 plus investment professionals. Interest rates remain low and are expected now to remain lower for longer. In this context, the demand for alternative assets remains robust as investors continue to seek opportunities for attractive returns with lower correlations to traded equity and fixed income investments. Our alternative assets often provide solutions for investors seeking higher current income or solving for funding gaps. For example, a recent study cited by the Center for Retirement Research at Boston College reported that on average a 28% funding gap exists between U.S. pension fund assets and liabilities, highlighting the increasing need for higher and more nimble investment returns to fill this gap. With a high degree of current income, low correlations to traded assets and meaningful downside protection; we believe that our broad-based investment products provide much needed solutions for both our institutional and retail investors. In addition, the competitive market for quality assets places a premium on managers like Ares, with extensive self-origination capabilities, large portfolios with significant repeat opportunities, flexible strategies and broad relationship networks. Our expanding platform continues to resonate with our LP clients. Our current investors are adding greater amounts of capital to our funds. During the first quarter, we continued our fundraising momentum, adding $6.5 billion in new gross capital commitments. All of this fundraising was organic and a growing portion, about $2.8 billion came from add-ons to existing funds. Existing Ares investors funded about 70% of the direct capital raised, which exemplifies a long-running market trend where investors are consolidating their assets with fewer managers that can offer broader capabilities. The new capital committed was diversified across our U.S. and European liquid and illiquid credit strategies, as investors continued to demand less risky credit investments at the top of the capital structure given the extended business cycle. We also added more than $700 million in real estate capital during the first quarter including add-ons to existing private debt and private equity funds and some managed co-investments. One noteworthy area of growth was within our alternative credit strategy, where we raised three new funds and added on to existing funds all totaling $1.3 billion during the first quarter. We continue to see alternative credit as a meaningful growth area, and we continue to add resources to our growing team. We believe that alternative credit investments provide additional diversification, attractive returns ranging from 5% to 15% with strong downside protection through highly tailored and structured investments. We've now raised about $3.8 billion in Alt credit funds over the last 12 months. Our forward fundraising outlook is strong, with several new funds launched or to be launched this year and with several of our large successor funds likely coming up in all three of our investment groups in 2020. And given the good visibility that we have in our fundraising pipeline, we have high conviction for continued strong AUM growth in the years ahead. During the first quarter, we invested $6.4 billion out of our drawdown funds across the platform. And we're generally selecting the top 5% of investments we source as we concentrate on using a proprietary angle like a prior relationship, or particular familiarity with a company or management team. For example, our European direct lending team funded one of the first billion pound sterling unitranche financings in the European market to a repeat borrower that has performed well for us over a number of years. In our corporate PE business, we purchased a controlling interest in a leading national refrigeration and HVAC services company, where we had a relationship with the CEO, from a prior successful direct lending investment. We also provided rescue capital in a leading thrift retailer to unlock value for growth and in this situation similarly we had a prior successful direct lending relationship with the company from 2006 to 2010. As you can see, just from these three examples, we're using the breadth of our platform to source unique investments where we have a true edge. As I stated at the outset, we continue to perform well for our investors. Our direct lending strategies again generated strong relative performance with quarterly returns of 3% or better in both the U.S. and European representative strategies. From a corporate private equity standpoint, our ACOF composite rebounded sharply up 8.7% for the first quarter driven by the appreciation of our portfolio of public positions that was up north of 40%. Our real estate PE funds in the U.S. and Europe which had annual returns in the high-teens or better for 2017 and 2018 had yet another solid quarter with our U.S. Fund VIII, up more than 4%. Our fourth European real estate fund, EF IV, generated a 1.2% gross return for the first quarter. And had gross appreciation of more than 15% over the last 12 months. And with that, I'll now turn the call back over to Mike McFerran, who will walk through the Q1 results in more detail. Mike?
Michael McFerran: Thanks Mike. As Mike stated earlier, Ares is continuing to benefit from strong fundraising and investing activity. These factors are driving strong, double-digit topline growth with strong visibility on future earnings as we are in a position to convert new AUM raised, but not yet earning fees and the fee related earnings and potential performance income. Our AUM growth continues to trend over 20% year-over-year. And our fee-paying AUM growth is catching up now in the high teens on a year-over-year basis. Our AUM reached approximately $137 billion at quarter end driven by new fundraising, market appreciation and limited run off. Our 16% growth over the past year in fee-paying AUM to $87 billion is largely driven by deployment as a meaningful amount of our AUM converts to fee-paying AUM once it is invested and also benefits from intra-quarter fundraising and limited redemption activity. Management fees and fee related earnings both increased 18% from the first quarter of 2018 and 14% and 15% respectively for the last 12 months compared to the prior 12-month period. Our corporate objective continues to be to grow our AUM and fee-related earnings annually in the mid to high teens consistent with our historical growth rates. Let me now turn to our realized income. Our first quarter realized income of $105 million up 45% helped drive last 12 months realized income to $428 million up 24% to the prior last 12-month period. In addition to the growth in our underlying fee related earnings the strength in Q1 realized income was primarily driven by monetization's from Floor & Decor in our private equity portfolio along with some annual incentive fee-paying managed accounts in direct lending. Our first quarter after-tax realized income per common share of $0.35, increased 30% year-over-year and on a full 12-month basis, was $1.50 per share, a 25% increase over prior last 12-month levels. Our steady growth in our fee related earnings, which has accounted for about 66% of our realized income on average over the last eight quarters provides a solid and growing foundation for realized income growth. We ended the first quarter with significant levels of dry powder and Shadow AUM. Our available capital totaled $35 billion, up 32% from prior year and our Shadow AUM increased 56% from prior year to $27 billion. Of this $27 billion, approximately $23.8 billion is available for future deployment with corresponding annual management fees totaling $224.1 million. Based on the underlying strategies, we continue to expect deployment horizons ranging from 18 to 36 months. Please note that the $224.1 million in incremental management fees does not include the impact of any potential ARCC Part I fees we expect to earn in the future any additional management fees, we would expect to earn from ARCC in excess of its current leverage or the expiration of the $10 million per quarter ARCC Part I fee waiver at the end of the third quarter of 2019. Incentive eligible AUM also reached another record in the first quarter of $80 billion, up 23% year-over-year. Of that amount about $27.3 billion is not yet invested and available for future deployment, which is approximately 93% of our first quarter incentive generating total. This should translate into material potential upside to our realized performance income in future years. Our incentive generating AUM of $29.2 billion increased 25% year-over-year. That's comprised 63% in credit strategies and 27% in private equity strategies. Of the amount of incentive eligible AUM that is currently invested excluding the capital gain Part II fees on the largely debt oriented ARCC portfolio over 75% is generating performance fees. Our management fees continue to represent more than 80% of our total fees and are derived from locked up long-dated capital including permanent vehicles. Approximately 90% of our first quarter management fees were generated from permanent capital or funds with closed end structures. Before handing the call back to Mike, I do want to spend a few minutes on our fee related earnings margins and the composition of our business lines, so you have a better appreciation of how we think about this. We expect and believe that our scaled businesses should operate between a – assuming a 50% and 60% business line margin. As you can calculate from our first quarter segment results included in our earnings presentation, you will see that our Credit Group had a 56% margin our Private Equity group had a 51% margin, and our Real Estate Group had a 33% margin; all before our operations management group corporate overhead expenses. At any given point, embedded within the margins for the respective groups are expenses we incur to develop future strategies, capabilities and/or businesses that will be drivers of continued and future growth. For example, over the past two years, we developed what we believe is one of the most talented special opportunities teams. We have added over 16 professionals who collectively identify invest in and manage unique special opportunities including those in the world of stressed and distressed assets. This team, which is strategically situated within our private equity group did not join us with incremental revenue, but rather enabled us to expand our capabilities that broader – on a broader platform and behind which we are raising dedicated capital to manage. This is just one example of our ongoing commitment to invest in the future growth of Ares. As you have witnessed through our history, we have demonstrated a strong track record of leveraging our core capabilities to launch and eventually scale new products and strategies which in turn has contributed to our ability to deliver consistent double-digit growth in assets under management, management fee revenue and fee related earnings. At just under $12 billion of AUM our Real Estate Group is not at the scale we believe it can achieve. As a result, it operates in a lower margin than our comparatively more scaled Credit and Private Equity Groups. We have great conviction about our real estate team and our success in this asset class is evident through the continued strong performance across our real-estate equity and debt strategies in the U.S. and Europe. If we were to exclude the initiatives where we are making ongoing investments, along with our Real Estate Group, we estimate our fee related earnings margin would be in the mid 30%s as compared to the 30% we had for the first quarter. I will note that, eight quarters ago, we had a 26% margin and we have line of sight to margin expansion as we continue to deploy our Shadow AUM and scale our strategies for tomorrow. Before moving on, while margins are a data point, we monitor as a key measure of profitability, the most important metrics to us. And hopefully to you is our ability to grow assets, fee related earnings, realized income and dividends; all of which we have been doing consistently. Mike will now close with his thoughts on our positioning and future outlook.
Michael Arougheti: Great. Thanks Mike. So in summary, we believe that the business is incredibly well-positioned for continued growth in the years ahead and we're making investments to ensure that we capitalize on the strategic market opportunities where we believe that future growth is promising. We're making these investments in every investment group at Ares, and the outlook is exciting across the platform. As you can see from the results, the core business momentum is strong across fundraising, investing, realizations and fund performance, and our clients appropriately continue to give us a greater share of their capital and with our existing fund performance and expanding product suite, we continue to have great fundraising momentum. We also have a promising line -- line-up of large successor funds in the queue over the next 12 months. And from a personnel and culture standpoint, I don't think that we've ever been stronger. And we continue to leverage the breadth of our platform and our collaborative culture to originate and structure unique deal flow and to generate attractive returns for our clients and in turn for our shareholders. As always, we appreciate your time and continued support for Ares. And operator, with that, we'd like to open up the line for questions.
Operator: Thank you. [Operator Instructions] And our first question today comes from Michael Carrier with Bank of America Merrill Lynch. Please go ahead with your question.
Michael Carrier: Thanks. Good morning. Thanks for taking the question. Maybe first one, just on the credit side of the business, returns were strong in the quarter. But, I think the incentive AUM seems like it took a dip, but I think it was driven by ARCC. So just anything that was more nuance there, because from an environment, it seems a little counterintuitive?
Michael McFerran: So, if you recall in Q4, we had a -- including incentive generating was I'm guessing about $13 billion of AUM relating to the ARCC Part II fee. And Michael, if you recall this -- we have highlighted in the past is and -- what we've considered non-recurring based on the debt nature of ARCC's portfolio. So while that was really beneficial for Q4, we wouldn't think of that as being something you should include on a regular basis. I would kind of compare Q1 with -- against Q4 without that number included.
Michael Arougheti: I'd make one other additional comment Michael is, if you look at the RI while we had a large pickup from our private equity realizations as we've continued to raise institutional managed accounts across the credit platform you're starting to see incremental incentive fees come through the RI line as those grow and mature.
Michael Carrier: Okay. That’s helpful. And then second one, just on the investor base. So, you guys have come a long way with the C-Corp conversion and shifting the investor base over the past year. You guys are a little bit more unique, because from a float standpoint, you also have some challenges there. So just longer term, what's the strategy to maybe broaden that investor base and increase the float more in line with the peer group?
Michael McFerran: Yeah. Why don't we start with the float, because that one I will disagree with you on. I think a few years ago that was the case. If you look at us, our float over the last couple of years has moved from 5% to 30% of the company, which means we have north of $1.07 billion traded. If you look at our daily volumes, the average is I think north of $600,000. So we actually have not heard feedback in recent quarters that the float was an obstacle to the investor base whereas it once was, but I think institutions are now able to accumulate targeted positions in the stock. So, I don't think there's any sort of from our end, need to do anything to continue to unnaturally increase the float. Over time as -- the next extension of it will be as employees' awards vest that will have some modest growth to the float if employees were to sell shares over time or shares ever sold for taxes. But again, I think we sit here today feeling pretty good about the floats and the volume in the stock.
Michael Carrier: Okay. Thanks a lot.
Operator: And our next question comes from Chris Harris with Wells Fargo. Please go ahead with your question.
Chris Harris: Thanks, guys. With the Fed reserve on hold, with respect to interest rates presumably for some time, does that change anything from Ares' perspective, and in particular wondering if it changes how you're thinking about the business cycle or how you're investing new capital today?
Michael Arougheti: Yeah, I can give a high level view, and David, Kipp, can chime in with the PE or credit specific. I think the good news is when you look across the portfolios at Ares, we have investments in over 1,500 middle market companies, and irrespective of Fed positioning what we're seeing is generally very positive economic fundamentals in our corporate and real asset portfolios. As you would imagine, every underwriting we do across the platform, whether it's a private equity control buyout or a direct loan, part of our job is to pick the highest quality companies, and then evaluate the durability of their cash flow. The way I would describe it is, we're now in this really healthy balance where you've got good solid economic fundamental growth. You're seeing GDP growth of 2% to 3% and we'd expect that to continue. And with the new rate positioning, any concerns we had on deterioration in free cash flow coverage and debt service and our underwriting has been pushed back. So, as I said in the prepared remarks, I think what this does is going to prolong the cycle and at the same time, it's going to continue to drive the investor community to the type of alternative assets that we invest in. But maybe David or Kipp if you want to talk specifically about any change perspectives in terms of how you're thinking about the investment environment.
David Kaplan: Sure. This is David. The list of known risk factors is -- remains reasonably long on the sort of the macro level. The Fed's position today I would say moderates one of those risk factors. So, we think the benign environment that we find ourselves in today whether it's 2% to 3% -- 2%, 3%, or 3% plus GDP growth is going to continue.
Chris Harris: Just a related follow-up. Does that make potentially sub debt a little bit more attractive in your view here or not necessarily? And I suppose the answer to that question would vary credit-to-credit.
Michael Arougheti: Yes it's very credit-to-credit and again while the business is large, you're always underwriting company-specific credit risks. I think as we talked about on the ARCC call, four larger companies where we've been able to take share from the high yield market where we're doing structured private high yield or second-lien investments, we've seen attractive relative value there. I would just say generally when we look across the alternative credit space and I think the interest rate environment will continue to support this, we're just seeing incredible relative value up the capital structure given where base rates and spreads are even with the Fed on pause. And as I highlighted I think what this is going to do is just keep flows coming to Ares. People are looking for opportunities to capture excess return away from the traditional fixed income markets and maybe move away from some of the volatility that they've experienced in global equities. So, I wouldn't say this drives us to sub debt, but we have been in a position where we've been able to leverage our scale in larger companies to provide capital in the middle and bottom part of the balance sheet where we see appropriate.
Chris Harris: Thank you.
Operator: And our next question comes from Gerry O'Hara with Jefferies. Please go ahead.
Gerry O'Hara: Great. Thanks for taking my question. Just maybe on the FRE margin expansion story, curious to sort of get your thoughts on how much of that kind of 30% target or outlook is a function of future fundraising. You mentioned the main drawdown funds being in the market perhaps 2020 or is that sort of irrespective of those funds and just what's currently going on? Thank you.
Michael McFerran: So, just to clarify the 30% is the margin we had this quarter and through all of 2018 plus our current FRE margin. We have expressed a view that if you think about how we're -- a lot of our management fee growth is going to be derived from capital we've already raised so what we refer to as that Shadow AUM. And which just as a reminder we had $224 million of potential management fees tied to that growth, again capital raised today and being deployed. What's a little bit unique about the timeline on this is the investments made to raise the capital, invest the capital, account for and report on that -- the performance of that capital; those are made in advance of the management fees coming online as we get paid on most of that capital and Shadow AUM or all of it on invested. So, as we continue to deploy Shadow AUM, we do expect our margins to expand. So, I've highlighted two years ago was 26%, this quarter is 30%; absent anything else, I think that's over the next couple of years the trajectory into the low 30%s from 30% is reasonable and we hope over time will continue to grow. But notwithstanding that we do really want to emphasize that you have -- I would look at us -- thinking about our scaled businesses in our prepared remarks versus real estate which we would say is less scale and operates at a lower margin and we continue to and I think always will invest a portion of our earnings back into future growth of the business which at any given point is going to be worth three points to four points of margin, but the right thing long-term for Ares.
Michael Arougheti: So, Gerry one other just concluding remark on that is if you look at the mature margins in the segment financials that Mike talked about you'll see 56% and 51% with growth in PE. Those are still scalable and as you look at that forward fundraising pipeline as you asked going into 2020 we're now coming back around. We'd expect with the sixth buyout fund likely to see the next vintage of our European direct lending funds come through, likely to see the next vintage of some of our novel U.S. direct lending funds. So, those businesses are already at scale and obviously we don't need to add the same overhead to manage larger pools as those mature vintages are coming through. So, I do think that there is inherent scalability in the margin as we develop that fundraising queue going into 2020.
Gerry O'Hara: That's helpful. And perhaps just as a follow-up to your comments on some of the technical selling that was witnessed in late last year. Are there any kind of insights that can be drawn there as to how we might be progressing through the current credit cycle or perhaps any opportunities that that sort of environment revealed going forward? Just some high level comments or thoughts on that might be -- might be instructive. Thank you.
Michael Arougheti: Yes. I think what was interesting about the selling in the fourth quarter and we just talk about the sub-investment grade credit markets in particular, we were seeing that weakening beginning in the October timeframe and accelerating through -- through the end of the year. Reminding people that what's interesting about the traded credit markets is the structure of those markets has changed in two very important ways. Number one, the banks who were traditionally playing a very active role as market makers are post the financial crisis just based on regulatory capital framework regulation and risk positioning have been less active market makers in those markets and so when you see selling in the market, price tends to gap out pretty quickly. The big opportunity for institutional managers like Ares is in the absence of the banks intermediating that flow, we have the opportunity to step in as a capital provider at very attractive rates of return when there's that kind of volatility. And we don't think that that structural change is going to go back to the way that it was and represents a long-term opportunity for Ares. The second structural change is if you look at the leveraged loan in the high-yield market, a significant percentage of those markets is now in daily liquidity structures either loan funds or ETFs. In order of magnitude, 15% to 16% of the loan market is held in funds with daily liquidity and about 30% to 40% of the high yield market is in funds with daily liquidity. So when you take those two factors together and you have the opportunity for retail selling without as much orderly market making, you can see some pretty violent price action. That's a huge opportunity for us. So not surprisingly, when you look at our deployment activity in both our private and public credit businesses, there is very active deployment as we were pushing market into what was very obviously technical selling and obviously that's now come back. So what it means for us is we have to structure funds going forward that provide us the flexibility to be in those markets when they develop. A lot of the things that we're focused on now are making sure that we have the flexibility to be in both the public and private markets, so that we can capture that arbitrage, when it -- when it develops. And obviously you see what those markets have done in the first quarter and year-to-date and that's been a big -- big source of outperformance for us.
Gerry O'Hara: Thank you.
Operator: And our next question comes from Craig Siegenthaler with Credit Suisse. Please go ahead.
Craig Siegenthaler: Hey, good morning. The European direct lending business is really hitting on all four cylinders here, but it's also attracting more competition from other asset managers, which are also active on the fundraising front. So how do you defend your Number one share in this business, and what moats exists to help protect this business still?
Michael Arougheti: Sure. I think the good news is we've seen this type of evolution in the U.S. market and we've been able to defend our competitive position here as well and I'll try to keep it high level. As we think about direct lending, you create competitive advantage in a couple of very straightforward ways. One is through origination; originate more flows, see more flow and be more selective. Two is through capital scale both in terms of the size of your balance sheet, but the breadth of your product offering up and down the capital stack. And three is through the flexibility of the capital and how you position yourself to your investee clients and your LPs. So the way that we do it is frankly we have more people in more offices with more capital and better products. The hugest advantage that we've seen develop both in the U.S. and in Europe is the value of incumbency that gets created once we establish a market leadership position. And as you've talked -- we've talked about on these calls, but also at ARCC; given the size and maturity of our businesses now over 50% of the deal flow that we're doing in our direct lending franchise is to existing borrowers. So those are borrowers where we don't have to compete as aggressively to deploy capital. They're borrowers where the underwriting is easier, because we've been living with these companies seeing monthly financial statements, observing or sitting on the board, having a deep level of trust in relationship with the management teams. So that incumbency benefit is probably emerging as one of the largest moats around the business, where we're able to deploy capital into borrowers that we know with very little competition from the new entrants in the market. But if you look lastly at the number of new entrants and the size of the average fund in direct lending, particularly in Europe, it's very small. I believe that the average fund size for private credit funds in Europe is about $250 million. And so when you're investing a $250 million fund, you're either forced to focus on a larger potentially non-institutional quality borrower, which we think comes with certain risks that we're not seeing in the upper end of the market; or two it forces you to either buy intermediated product from someone else or club up transactions which in and of itself is -- puts you at a competitive disadvantage and potentially in a position where you're going to get adversely selected on credit. So obviously we're mindful of the liquidity. I think for whatever competitive tension it creates it also promotes liquidity in the space and supports asset values and ultimate returns for folks like us who have real competitive advantage.
Craig Siegenthaler: Thank you, Michael. Very comprehensive. Just as my follow-up here. I wanted to see if you could help us with the potential sizing around the new Scott Graves, Distressed Fund and I'm just looking to see if you think you can replicate the success he was part of when he was over at Oaktree?
Michael Arougheti: So we don't talk as you guys know about fund sizing but this will be a multi-billion dollar type fundraise for us and I think a continued growth engine. When you look at the returns that that team has generated over the last two years they've been very attractive, leveraging this opportunity to move in and out of the public and private markets and also leveraging the full strength of the platform across private equity, private credit and tradable credit. So the answer is we're very optimistic about this fundraise, very optimistic about the long-term prospects for the business and it's showing up in the returns, which is why we have such conviction right now.
Craig Siegenthaler: Thank you
Operator: And our next question comes from Alex Blostein with Goldman Sachs. Please go ahead.
Alex Blostein: Hey, good morning guys. Just one question from me. As we think about the next flagship funds that you highlighted, in the past you've been able to really upsize every fund relative to the predecessor and I'm just curious how you're thinking about the opportunity set in the market today to size these new flagship funds? Should -- in other words should we be thinking about a similarly significant relative increase from the predecessor fund or the opportunity set is not as robust as it was in a prior vintage?
Michael Arougheti: I think the simple answer is yes. Historically, I believe on average successor funds have been coming in at a minimum 20% in excess of prior vintage. But if you look at the true flagships we've been able to scale those closer to 40% in excess of the prior vintage. So when I think of where we are in the funds I articulated I think that 20% to 40% historical experience is what we would expect on a go forward basis as well. When you think about some of these competitive advantages, I just articulated in terms of origination breadth and capital scale, a lot of the growth is just continuing to harvest the relationship networks that we've already developed and in the credit businesses in particular we can sustain that growth just by increasing our average investment size and moving the business up market. So we don't really have to add a lot of people or do different things that marginal growth comes with not a lot of marginal investment and really is just a scaling of our average ticket size.
Alex Blostein: Great. Thanks for that.
Operator: And our next question comes from Kenneth Lee with RBC Capital. Please go ahead.
Kenneth Lee: Hi, thanks for taking my question. Just a follow-up on the FRE margins. Wondering if you can go into little bit more detail as to what the key ongoing investments are and it sounds as if they're going to be ongoing for quite some time but just wondering if there's an expectation that they could taper off over the next year or so. Thanks.
Michael McFerran: Kenneth, I think ongoing investments are new strategies we're developing across different businesses. I use -- again one example, we had in our prepared remarks was clearly our special opportunities team and that's the team raising capital around. So as we do so that's something that evolves from something where we're spending money into to develop that capability and those resources, and then we'll have revenue accompany it in future periods. There is other example, real estate we've talked about the growth of our private debt funds, which historically we did not have really any meaningful capital aside from the publicly managed. So I think alternative credit Mike touched on in his prepared remarks we've raised over $1 billion in the quarter. That scenario we've added meaningful capabilities around across a broad swath of asset classes that we can participate in. The one thing I want to highlight though, we did mention the taper off that this is the history of Ares and the future of Ares is we will always be investing to expand what we do and whether it's in types of investment products, leveraging our core capabilities into adjacent asset classes, geographies what have you. But earlier on we had a question about Europe, again it wasn't terribly long ago that we opened the London office and built out a team in London and across the continent without assets to manage or revenue around it and now we're the leading player there and it's a meaningful contributor to our bottom line. So the things we're doing today, we expect them to evolve and grow and add to our growth, but they then will have the teams of tomorrow investing in it. I think that's going to be a continuing story for us.
Kenneth Lee: Got you. Very helpful. And just one follow-up if I may. In the past, you've talked about potentially expanding distribution to new channels, for example private banks and as well two new non-U.S. geographies. Wonder if you could talk about some of the progress that's been -- that's being made on those funds? Thanks.
Michael Arougheti: Sure. So you highlighted a couple of the key areas for growth. We've put meaningful resources behind private bank distribution, order of magnitude that probably represented about 10% of the capital raised. Last year, we continued to make meaningful investments in other types of retail distribution. So our fairly nascent credit interval fund, which is being distributed through the IBDRAA and high net worth channel is continuing to scale. We've made meaningful investments in our insurance company distribution by adding RMs, creating insurance, dedicated funds and related product. Internationally, we've continued to scale our fundraising and IR teams in Asia in the Middle East region and in Europe and we're seeing that begin to bear fruit in all of our existing fundraisers. So again, back to the investments we've made if you were to go back pre-IPO and look at the size of our IR and business development team versus where it is today, we've made a meaningful investment building out that global footprint and obviously you're now starting to see that come through the complexion of the investors that are on the platform.
Kenneth Lee: Great. Very helpful. Thanks.
Operator: And our next question comes from Michael Cyprys with Morgan Stanley. Please go ahead.
Michael Cyprys: Hey, good morning. Thanks for the added color earlier on the fee related earnings and margin. Just wanted to follow-up a little bit on that. I think you mentioned mid 30s margin I think it's where you see yourselves operating today. If you remove the real estate business and some of the investments you're making, I guess, mid 30s still seems a little bit below the peers. So I was just hoping you could talk a little bit about maybe what's structurally different with your business maybe versus some of the peer sets? And then you mentioned $224 million of management fees that that will be coming through if capital is being deployed. Just curious what the incremental margin on that capital on that as it's actually put to work in terms of the operating margin there? Is it close to 100% just given the investments that you've already made?
Michael McFerran: So let me start the second part of that. $224 million is mostly driven by capital that we're getting paid on invested and most of it relates to private credit in the U.S. and Europe. So if you think about the incremental margin on that, I think I said in the prepared remarks, the Credit Group is operating at a 57% margin. So I think the mid 50s is probably a rational proxy for how that cap -- the margin for that capital those management fees coming online as we invest that capital. Going back to the -- your question on how we compare to our peers, I think there's two points. Mid 30s, 35% to 37%. I don't think -- when we look at it compared to our peers we actually think when we adjust for some of these things most notably the real estate business. And then if I look at our business lines, I think we're actually performing from a margin perspective very well in line with the rest of the industry. So I don't think our expense load is anything greater, and we do spend a lot of time looking at that from a reflective standpoint. So the last point is that some of our peers depending on which when you're looking at clearly have some fee businesses we don't. But just fine it's -- our business model is what it is and we're very happy with that for us. But overall, I think us aspiring for passing through 35% in time is when you think about the margins of our businesses is certainly very achievable for us.
Michael Arougheti: I'd make one overlay comment to that which is as you've seen over the years we have a very, very high conviction view that ultimately what differentiates us and people like us through the cycle is the ability to originate unique deal flow. And I would say, I think that Ares as a business has invested much more aggressively in our local sourcing network and our relationship network to sustain our growth than some of our peers have. When you think about our direct lending franchise, as one example, when you just look at the number of people in the number of offices that we've put in place to drive growth and sustainable competitive advantage, it's just something -- it's the type of investment our peers just haven't made. So that does constrain margins a little bit as we continue to invest behind what we think is a meaningful differentiated value prop for us.
Michael McFerran: And not to pile on or beat this up that but since this is the third question on margins, we want to be very clear. Margins are important. We pay attention to them. We’ve discipline around expense growth and the margins is important. However, the most important thing is the resulting fee related earnings realized income numbers and our ability to grow those. So if we – obviously, we -- I'm sure all of you would prefer and as we would that we're able to grow fee related earnings year-over-year 18% at a 30% margin that not make the investments for growth and show a four point higher margin, but have had high single-digits or low-teens growth in FRE. So I think it's all true that matters because the growth in FRE is what's going to grow the dividend, which is the benefit to our investors on top of the stock appreciation. Again margins are important and I understand they're important for modeling, but growing the bottom line is ultimately what's going to count.
Michael Cyprys: Great. Thanks so much. And maybe just a quick follow-up on I guess to the latter point around investing in the business. Just hoping maybe you could flesh out a little bit more specifically on the credit side, how you're continuing to invest in creating that capacity there. You mentioned reference to the teams, maybe you can flesh out in terms of where that headcount is today and where you see that going over the next couple of years?
Michael Arougheti: Sure, so we can't be specific because obviously the markets grow and change, but I can give you a couple of specific examples. In our European direct lending business, we continue to add headcount in our core markets. But over the last 12 months, we've opened up an office in Amsterdam and we've opened up an office in Madrid as we continue to push our pan-European footprint there. In the alternative credit space, as we keep articulating we are adding headcount and capability around the entire spectrum of asset base and asset-backed financing opportunities in places like transportation assets and CMBS and RMBS and finco lending. So -- we need to go there we're adding people and capability obviously with the expectation that that's going to continue to be a big -- big growth area for us. I think you saw us adding senior headcount in our real estate equity business over the last six months as we continue to push for growth. So not -- it's hard to say that we're going to add 25 people in the next 18 months in strategy XYZ. But again as we continue to scale the capital base we're continuing to push the capabilities forward as well as the origination network.
Michael Cyprys: Great. Thank you.
Operator: And our final question today comes from Robert Lee with KBW. Please go ahead.
Robert Lee: Hi. Thanks. Thanks for taking my question. Just wanted to maybe ask little bit on the real estate business. I mean, clearly it's been a focal point for growth and place you're investing a lot. But, I guess, if you look at it I mean it seems like it's been a little bit more of a struggle there versus certainly the other businesses on getting that to grow. And how are you thinking about inorganic growth there? I know you've obviously done some acquisitions in that space before but are you starting to feel like you really need to maybe be more aggressive inorganically to really kind of scale that up so to speak or are there enough things you feel like in the hopper that with that that you can get there in a reasonable timeframe?
Michael Arougheti: Yes. So I'll give you a couple of ways to think about it. What we like about the real estate business generally is it is probably the largest global addressable market for alternative managers like Ares and depending on how you frame it up it's probably a $10 trillion end market. What we also like about it is at least as it exists today it's still a fairly local business, which means that the competition and the competitive landscape is very fragmented. And what's so interesting about it is, Ares sitting with $12 billion of alternative real estate assets, puts us somewhere between 10 and 15th in the globe In terms of institutional asset managers in the real estate space. And so, when you think about it that way, what it says to us is, there's a huge opportunity for market share consolidation, given the size of the addressable market opportunity and the fact that there just really aren't that many scaled competitors. So we view that as much as an opportunity as we do, having any internal disappointment about the size of the business. That said, as we've noticed in all of our businesses, scale is a huge driver of outperformance over time. The more our core businesses are scaling, the more we're seeing advantages develop in originations and growth and investment returns. So we're very focused on scaling up our real estate business. And so, as a result of that desire to scale, we're obviously spending a lot of time looking at buy versus build. And I would say, probably the growth in real estate will be a healthy combination of both. We have very good momentum in our existing core strategies, performance across our debt and equity businesses has been best in class, so we'll continue to leverage that to grow the fund franchises. But I also think there is a meaningful opportunity for us through acquisition to grow that business.
Robert Lee: And -- thanks. Maybe just as a quick follow-up on that topic. I'm sure you're constantly talking to potential inorganic opportunities. And I'm just curious, if -- with the C-Corp conversion, if that, at all has an impact to those conversations, a change in the tone of people, or anyone's willingness to engage in talks with you?
Michael Arougheti: I think -- yes. I do think it's made it -- I think it's made it easier, just because for all the reasons there was complexity for public shareholders to own a publicly traded partnership. There is some complexity from an M&A standpoint for private business owners to own the same securities. So I would say, at the margin that helped some of the conversations. The other thing I would highlight, you didn't bring it up, but if you look at transactions in the market like the announced Brookfield-Oaktree transaction, I think it continues to demonstrate that this business is moving to scale and that the broader platforms ultimately are delivering a more compelling value proposition to the institutional and retail investor community. And I think the combination of the conversion, but also I think a recognition of the benefits of scale, we feel pretty confident that we're going to continue to see more inorganic growth opportunity.
Robert Lee: Great. Thanks for taking my question.
Operator: And this will conclude our question-and-answer session. I would like to turn the conference back over to Michael Arougheti for any closing remarks.
Michael Arougheti: Great. We don't have any, I just wanted to reiterate our gratitude for everybody's support and continued confidence in us and we'll talk to you guys next quarter.
Operator: Ladies and gentlemen, this concludes our conference call for today. If you missed any part of today's call, an archived replay of this conference call will be available through June 12, 2019, by dialing 877-344-7529 and to international callers by dialing 1-412-317-0088. For our replays, please reference the conference number 10129714. An archived replay will be available soon on a webcast link located at the homepage of the Investors Resource section of our website. Thank you. You may now disconnect.